Operator: Good day and thank you for standing by and welcome to the Syrah Resources Q1 Quarterly Update. At this time, all participants are in a listen-only mode. After the speakers presentation, there will be a question-and-answer session. [Operator instructions] Please be advised that today's conference is being recorded. [Operator instructions]. I'd now like to hand the conference over to your first speaker today, to Mr. Shaun Verner. Thank you. Please go ahead.
Shaun Verner: Good morning, and thanks to everyone for dialing in today. With me on the call is Stephen Wells, Chief Financial Officer and Viren Hira, General Manager of Business Development and Investor Relations. Today Syrah released its March 2022 quarterly results, covering operations, market conditions, the Vidalia initial expansion project, and the outlook for natural graphite, active anode material and their end-use markets. And we'll use the slide deck released today for this discussion. In 2022, year-to-date, Syrah has announced the achievement of pivotal milestones for the company and is strongly advancing toward its objective of becoming a large-scale, vertically integrated natural graphite active anode material supplier.  The favorable upstream market setting for natural graphite is also translating to high demand for Balama products. Market conditions in the upstream market have strengthened from last year and are the strongest they've been since Balama's commencement in 2017, with very good momentum in battery-driven demand growth, seasonal inventory lows, and supply interruptions, all culminating in strong physical demand and rising prices for natural graphite. This is to start the expected seasonal restart of Chinese natural graphite production through the second quarter. High growth rates in the electric vehicle market continued to be reported with EV sales at around 2 million units in the first quarter, up almost 80% on an already high base in Q1 last year and strong demand growth across major global consumer regions. We are now seeing the same levels of EV sales in the quarter that we were experiencing for a full year only two years to three years ago. Total Chinese active anode material production increased to over 90,000 tonnes in March 2022, which was a record monthly level and up over 80% year-on-year as well.  The global and regional battery manufacturing capacity pipeline and resulting active anode material growth requirements are significant and announcements for additional battery manufacturing facilities by incumbents and new entrants provided great setting on daily initial and subsequent planned expansions, as well as Balama and strategic position in the battery supply chain. All around the world, governments and markets recognize the key role of critical minerals such as graphite in facilitating transport electrification and energy storage development towards the objective of reducing global carbon emissions.  This is clearly evidenced in the U.S.A. with the Biden administration recently invoking the Defense Production Act to support production and processing of critical minerals such as graphite for large capacity battery manufacturing in the U.S. and broader recognition of the importance of graphite, which has not received as much focus as other battery minerals until now. Positive ESG differentiation also continues to increase in importance with greater understanding and visibility by engine manufacturers and consumers highlight challenges in part of the existing battery material supply chain. Each quarter we reiterate our belief in the importance of the Balama asset and our vertically integrated anode material facility at Vidalia to the future of this transition.  The actions being taken by customers, investors, and governments, and commercial arrangements bring into view to retire and validate this view. Continued disruption in the global container shipping industry are gaining constrained Balama production and sales during the quarter. However, in developing and executing on a major logistics option from Pemba, we've mitigated the impacts and increased sales. We still have work to do on this front, but we're very optimistic about Balama's future volumes from here.  Slide 4 of the deck reiterates our fundamental ESG commitments and performance focus, and every quarter that passes highlights the criticality of this effort. Since the company's commencement ESG excellence has been a key focus, and we're beginning to see the very real impact of downstream customer requirements and supply chain orders to bring differentiation between incumbent production of anode material and ourselves into sharp relief. We've recently announced a final investment decision to construct a solar and battery system at Balama.  This system is expected to yield a material reduction in carbon emissions and cost benefits by replacing significant proportion of diesel generation and consumption presently use for Balama's power needs. Minviro recently updated the independent loss cycle assessment of Syrah's integrated operations from Balama origin to Vidalia anode material customer guys, in accordance with ISO standards, leading to a material reduction in the estimated global warming potential of Syrah's integrated operations versus last year's estimate.  Again, it's estimated that Syrah's operations exhibit materially lower global warming potential compared with representative natural graphite and synthetic graphite anode material suppliers benchmarked in China. Specifically on other ESG outcomes for the quarter, our health, safety, and environment performance remains outstanding. The total recordable injury frequency rate at Balama was 0.9 in the March quarter. And the Balama TRIFR has remained below one since [Indiscernible] 2019. Our TRIFR at Vidalia was again zero in the March quarter. We'll now move to some key aspects of the quarterly summary, and I'll hand over to Steve here to make some comments on the corporate position at the bottom of Slide 5 before making some remarks on the market. Steve?
Stephen Wells: Thank you, Shaun. And good morning, everyone. On the corporate front, Syrah finished the quarter with a cash balance of $205 million compared to $53 million at the end of 2021, which includes net proceeds from the equity rising of $160 million to $176 million that was completed during the quarter. Our cash position fully funded the dynamic initial expansion to start production, and has provide Syrah with the funding to immediately proceed with the investment in further detailed engineering and procurement, and construction activities. We also have sufficient liquidity to fund working capital and capital costs across library.  Excluding net equity raise proceeds, total cash outflows for Syrah were $24 million with the daily cash outflows across operations, expansion, and technology development of approximately $4 million to $8 million and the remainder relating to Balama and corporate costs. In terms of Balama, we were able to produce our minimum production target of 15, 000 tonnes per month, or 46,000 tonnes for the quarter. With the addition of our first breakbulk shipment during the quarter were lower than production, Balama sales of 35,000 tonnes were materially higher than Q4 last year.  However, we want to continue to grow sales volume and production, which are any of constrained by container shipping at this point in time. From a working capital perspective, higher production and sales represents a draw on working capital. However, this will even out the sales next production, and was also somewhat offset by attractive payment terms on our first breakbulk shipment. Similarly, there also continues to be a lag between higher shipping costs being incurred at present and increased pricing on tonnes being shipped compared to what we are experiencing on new orders.  This will also balance out over time and there is good pricing growth through the order book, which will compensate for the shipping price increases we are seeing. Over the short to medium term, we expect shipping costs to moderate with a normalization in the shipping market, while current price support for natural graphite based on market factors is strong. We do note however, that there is material uncertainty relating to the duration extent of impact from the current China lockdowns.  In the current market, we are likely to continue to prepay the natural graphite sales through breakbulk shipments, which will also improve working capital. And we also note the weighted average price for the quarter exhibited strong upward momentum and was well in excess of our C1 costs and our minimum time production model. As highlighted through the equity rates and process, CYREN is progressing DIP funding processes with the U.S. DOE and DFC on funding requirements of Vidalia and Balama respectively. As a result of those initiatives and of the Vidalia uptake process, corporate costs were higher than normal during the quarter. Clearly, we see significant benefits from the company from their expanding processes, and as shown with the achievement of the conditional commitments from the DOE in April, we continue to make good progress. Moving to Slide 6 in current marketing extensions, as Shaun noted the end market setting in 2022 year-to-date has been outstanding with strong momentum in laboring production in Syrah globally.  And we brought back much of application of model ranges planned by all our makers this decade, this trend is likely to continue. To underpin the substantial mobility transition, further last commitment are being made to develop [Indiscernible] and battery manufacturing capacity across the globe, including in North America. Slide 6 shows our primary leading indicator, global electric vehicle sales. Positive momentum continues to May based on pricing in Q1 2022.  Global EV sales grew 80% versus Q1 to 2021, of approximately 2 million units with strong demand of growth in China, Europe and the U.S. Year-to-date EV sales growth has been from our high backs in 2021. Major forecasters projects furthering prices in EV sales across major geographies through this year, supported by shifting consumer parakeets and more EV models driving adoption. To build out of charging infrastructure net lines and supported government policy.  It is worth noting in the context of too many new sales on Q1, that they exceed the full-year of sales of the recently in Q1 of '19. EV sales and battery demand growth are fleeting up the demand of anode material as demonstrated by total Chinese AA in production, increasing to a level of monthly production records above 90,000 tonnes in March, 2022. The trend on this front has been very strong over the past 18 months, and our interaction with REVPAR versus in China demonstrates robust full demand.  Demand growth is coinciding with supply headwinds with natural REVPAR production in China being impacted by production and restocking challenges prior to, during, and after the seasonal winter assets. And this has significantly reduced based off our entry in the China and our supply chain. So the fourth type of bottles, which already exceed 90,000 tonnes through to the end of the year, up from 80,000 in December and despite 35,000 tonnes in South this quarter suggest that customers have strong demand or audits and remain concerned about that future turn of natural graphite production availability and the market balance.  Turning to Slides 7 and 8, these provide the updated picture of global and regional battery manufacturing capacity pipeline forecasts and announcements, as well as the resultant graphite battery anode material forecast requirements. The growth ahead for the industry continues to strengthen, providing a very strong backdrop for the Company to increase production capacity at Balama and a great setting for the dynamic initial expansion, a potential subsequent expansion of the barrier, and investigation of a possible European AA production sight in the future. I'll now hand it back to Shaun.
Shaun Verner: Thanks, Steve. On Slides 10 through to 14, we move to Balama production, sales and logistics performance in the first quarter. The two key takeaways from Balama's operational performance during the quarter are, firstly, that production achieved a minimum target rate of 15,000 tonnes per month over the quarter for the first time since the September 2019 quarter, with a total of 46,000 tonnes produced in total. And secondly, the C1 costs were within U.S. $430 to $470 a tonne guidance at the 15,000 tonnes per month production rate.  The development and execution of Pemba breakbulk shipments to supplement Nacala container shipments, enabled significantly higher production and sales levels at Balama this quarter compared to previous quarters. However, quarterly production remained constrained by maximum inventory positions at Balama, Nacala and Pemba, and ongoing disruption in the global container shipping market. At Balama the 46,000 tonnes of natural graphite was produced at 76% recovery and 35,000 tonnes was sold and shipped during the quarter.  All 30,000 tonnes of finished product inventory at the conclusion of the quarter was contracted to customers and the forward sales book continues to grow. Products quality was consistent with previous quarters with stable grade about 95% fixed capital, plant recovery of 76% was lower than the recovery achieved in campaign operations during Q4 of 2021. And this was due to three things, higher process variability driven by elected space for finished product. Secondly, planned maintenance activities and thirdly, integrating a new cyclone system in the secondary milling circuit, which is already delivering significant operational benefits.  While lower than previous quarters for the reasons highlighted, plant recovery was materially higher than when Balama last operated at an equivalent throughput rate in 2019. As I've said Syrah concluded a major process improvement project at Balama with the commissioning of the cyclone system to increase liberation and optimize classification efficiency from the secondary milling circuit. The cyclone system forms part of Balama's recovery improvement plan and is expected to yield a step change in recovery capability of the plant, and this has been demonstrated since commissioning of the cyclone system in March and up to the quarter end.  Our C1 cash costs that they Nacala of U.S. $464 a ton for the quarter, reflect the benefit of fixed costs being spread over for an increased production rate, and were within C1 cash cost guidance of $430 to $470 a tonne at 15,000 tonnes per month production. Balama unit costs are expected to reduce further as the production rate increases beyond 15,000 tonnes per month with improved shipping options and availability and as recovery improvement initiatives continue to be embedded.  Syrah took a final investment decision on a Harvard solar and battery system at Balama, which will be delivered under a build, own, operate and transfer or a boot arrangement, and is expected to reduce Balama's carbon emissions and operating costs and generate attractive returns for the company. We're also currently working through the renewal of our Balama mining services contract to further improve our total cost and performance position. Moving to Slide 13, which contains further detail on the Balama sales and marketing side. As I mentioned, we've sold and shipped 35,000 tonnes of natural graphite during the quarter, including 19,000 tonnes in the March month, incorporating our first spot breakbulk shipment from Pemba.  While significantly higher sales were achieved this quarter versus last quarter, unprecedented container shipping market disruption continued to impact the company's ability to secure desired container capacity for Balama shipments from Nacala and to match product shipments to very strong underlying customer demand. Breakbulk shipments from Pemba will continue to be utilized to supplement container shipments to increase volumes, and two further breakbulk shipments have already been scheduled for the second quarter.  We're seeing very strong demand and forward contracting with customers with more than 90,000 tonnes of sales ordered to the gym '22 quarter, and into the second half of 2022 already booked. The weighted average sales price increased to U.S. $573 a tonne of CIF during the quarter and U.S. $590 a tonne of CIF in the month of March 2022, reflecting the strong market conditions. New contracts in the quarter were processed materially higher than the average basket costs and further across support has been evidenced after quarter-end.  Fines sales accounted for approximately 79% of overall product sales during the quarter, and the fines market is consistently exhibiting relatively stronger price growth momentum than the course market, reflecting the different underlying market drivers for each segment, including the record Chinese anode material production, coinciding with Chinese fines supply disruptions. Several major natural graphite processing facilities in China, have been negatively impacted by environmental challenges prior to the seasonal winter outage, and ongoing COVID-19 related interruptions.  With the challenges in the shipping market hindering imports into China. Chinese inventory positions have been rapidly drawn down over winter. Record monthly Chinese anode production rates in conjunction wit the supply disruptions are driving very supportive [Indiscernible] dynamics for the company. Third-party across reporting agencies are publishing significant increases in China domestic natural graphite funds prices, with reported prices approaching U.S. $800 a tonne. It's important to note, the tires weighted average price achieved may not reflect the spot price as it includes license to sales under a mix of spot end - term contracts, and different pricing and delivery mechanisms.  However, as I noted, we're seeing contracted prices increasing strongly with the new contracts and spot shipments. Post like process ex-China remained strong through the quarter, with prices increasing due to strong industrial demand and ongoing supply disruption, including from the Ukrane and Russia. Significant sea freight rate volatility in surcharges are evidently caused by international logistics disruptions, fuel costs, COVID-19 restrictions, and global trading balances.  Syrah's current average shipping unit cost is approximately three to four times the long-term average. And whilst product pricing has improved, it's yet to fully offset the increases in sea freight rates for the company. We're taking action through the development of an -- the alternative logistics option in breakbulk shipments through Pemba port. Breakbulk shipments from Pemba created and additional export route for Balama products, provide flexibility in managing inventory positions, and will enable significantly higher product sales than could otherwise be achieved solely through Nacala port, given the prevailing container availability constraints.  Moving on now to progress at Vidalia on Slides 15 and 16. Syrah took pivotal steps in its strategy at Vidalia to become a vertically integrated natural graphite anode material supply alternative for U.S. and the European battery supply chain participants during the March 2022 quarter and post-quarter end. We were very pleased to announce a final investment decision to expand Vidalia's production capacity to 11025 tonnes of active anode material per annum during the quarter.  The company has invested significant time, effort, and capital in their risking its entry into the downstream anode material market, including construction and operation of the existing commercial scale qualification facility in Vidalia, technical product development, product qualification with target customers, and various sizes of studying from engineering on the Vidalia initial expansion. The final investment decision establishes Syrah as the first mover in the integrated downstream anode markets outside of China, and is the first step in our objective of delivering fully qualified products into what is a rapidly growing market.  Syrah has created a differentiated position by value that is not easily replicated. The company has also assembled a high caliber team for management of the expansion projects, as well as continued operations of the qualifications facility. During the quarter Syrah awarded Wally, a contract to provide construction management services for the Vidalia initial expansion projects through an integrated Wally and Syrah construction management team.  Tensile engineering on the expansion project was more than 60% completed at the end of the quarter with Wally and construction is progressing within the planned schedule and budget. If I do, we really sets the baseline for the project with further construction contracts being executed, purchase orders advancing, and early stage site works well underway. The Company completed all planned early works for stock preparation, including earthquakes road preparation, temporary balanced mix, and construction of temporary facilities during the quarter.  Construction of the 11025 tonnes anode material facility is expected to be completed in the second quarter of 2023, and following commissioning startup production is targeted in the third quarter of 2023 with an ethane month ramp up period to full estimated production ratio. Capital costs to slightly added with the Vidalia initial expansion project are being fully funded from Syrah's cash reserves.  We're also making good progress with the U.S. Department of Energy to get funding. We've recently finalized the non-binding term sheet and announced a conditional commitment for up to $107 million in loan from the DOE to fund the project following an extensive period of due diligence, part of which is still ongoing. The proposed loan is to be made under the DOE's advanced technology vehicles manufacturing program and the support of the Biden administration's critical minerals strategy. If finalized, the loan from Syrah would be the first from the iTV loan programs since 2011, and the first ever from this program to have materials processing facility highlighting Vidalia in strategic position in the U.S.A, and providing strong validation of the project. And we're focused on completing negotiations and finalizing the loan, substantive advances are well-aligned with the capital spending program. The loan will be highly attractive to the company and would allow Syrah to deploy surplus cash to valuable growth initiatives, including further expansion of Vidalia to support expected market growth based on strong forward demand indications exhibited through current commercial and technical interactions.  We were very pleased as well to announce our uptake agreement with Tesla in December 2021. This agreement was a key catalyst for the Vidalia final investment decision and also contains an option for additional volume with a further expansion of Vidalia. Syrah is engaged with multiple additional potential customers on qualification and introduced testing programs progressing well. Ongoing commercial and technical interactions demonstrate strong interest for the uncommitted volumes from the 11025 tonnes facility and further volumes from any planned expansions. Our target customers are encumbered electric vehicle OEMS and battery cell manufacturers with operations in new developments, primarily in the USA and Europe. Market growth and segmentation, particularly around localization and ESG is expected to benefit Syrah in its commercial engagements with these potential customers.  The company's objective is to enter into further commercial agreements for the uncommitted volumes before the start of production in Q3 2023, and to use that process to extend support for future expansion of Vidalia. Syrah has significant future opportunity with its combined position at Vidalia and the globally significant prep up resource and operation of Balama. The Tesla option for additional volume, broader customer interest and market evolution have motivated us to access a potential accerelated, larger expansion at Vidalia. And we'll complete this year a detailed benefit to move Vidalia to a production capacity of 45,000 tonnes of anode material per annum.  Progression of Vidalia's expansion beyond the initial 11025 tonnes of anodes material. Through detailed engineering, procurement, and construction sizes, would follow the VFS sequentially, subject to Syrah Board approval and customer in financing commitments. North American battery manufacturing capacity is forecast to increase to approximately 400 gigawatt hours by 2026 requiring almost 400,000 tonnes per annum of active anode material. The 45,000 tonne active anode material facility would represent only 11% of anode material required for the North American market at that time. Scaling up in Syrah's downstream business is underpinned by Balama and its resource, and the opportunity to consume a significant amount of current designer capacity internally overtime and to expand Balama to supply third party customers are important factors in the overall upstream supply-demand balance. Even at an expanded 45,000 tonne facility at Vidalia, only approximately 25% of Balama's production capacity would be utilized internally.  So to conclude on Slide 22, Syrah is very positive about the period ahead. EV sales growth, a constructive demand environment for anode material and the Chinese supply disruption driving strong demand and pricing for Balama products, increased shipping optionality, release of inventory constraints and a strong demand should facilitate increasing Balama production beyond 15,000 tonnes per month and enable higher sales volumes. Construction of Vidalia's initial expansion is progressing within schedule and budget and DOE and DFC loan processes are advancing, highlighting the strategic importance of Syrah's integrated operations to electric vehicle and battery supply chains and governments, potentially freeing up liquidity to invest in further growth opportunities.  The current market and Syrah's progress demonstrate the unique position we occupy with the largest global integrated natural graphite operation of Balama, and the most advanced option for vertically integrated supply of natural graphite anode material outside the Asian markets. We look forward to keeping you all up to date on the Company's progress. And with that, we'll move across to Q&A.
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions] Please note there might be a slight pause as questions queue. [Operator Instructions] But our first question in the queue is from Mark Fichera from Foster Stockbroking. Mark, please ask your question.
Mark Fichera: Yes. Congratulations on a great improvement in the quarter. A couple of questions. Firstly, you mentioned the freight costs being about three times the long-term average. I think in the last quarter, you mentioned it was around $100 a tonne on that track. I was wondering if you could clarify maybe what the freight costs were in the last quarter and how that's panning out to maybe the next quarter.
Shaun Verner: Thanks, Mark. The long-term average freight cost out of out of Balama is somewhere between $40 and $50 a tonne. So as I said, we're seeing freight costs at the moment between three and four times that. As for where that's going, I think the major factor impacting potential future freight rates is what happens with the current China lockdowns. There is obviously significant delays and disruption in both loading and unloading container vessels and bulk vessels around Shanghai at this point in time, and that will bleed through to challenges in schedules for container lines. And that has been a key factor in seeing increasing rates over the past 12 months. It is interesting, however, to note that there has been a moderation in the overall average freight rate for containers globally that has come down from its peak over the last month or so. So there is some sign of potential improvement, but that could be further impacted by ongoing disruption in China.
Mark Fichera: Okay, thanks. And just one more from me, just on the recoveries you mentioned obviously the issues that affected that, but obviously putting the recycling system and looking for an improvement there can you quantify what you expect for the long-term recovery? Now, I guess you did -- I think you did 82% in the previous two quarters. Are you looking to go beyond that with this modification to the park?
Shaun Verner: The long-term target is above 87%, and hopefully to somewhere around 90%. The implementation of the cyclones is one step in the recovery improvement program that we've had in place for a couple of years now and now that we're back to a more consistent operating rhythm, it really gives us a chance to embedded a number of those improvement actions. We expect some good improvement from the implementation of the cyclones in the secondary milling circuit. The program as a whole, which is both process and change base, we'll see it continue to improve that recovery level to the high 80's and hopefully into the 90% range.
Mark Fichera: Okay, thanks.
Operator: [Operator Instructions] Our next telephone question is from Anthony Barich from S&P Global Commodity. Anthony, please ask your question.
Anthony Barich: Hi, just asking about you mentioned that in past the general market optimism for graphite with increasing EV sales and everything else led to you to starting to accelerate a larger expansion at the Vidalia plants in U.S. What capacity is that too and is that a larger expansion than what you've announced? Just to clarify that please.
Shaun Verner: Yes. The final investment decision that was taken during the quarter was for the initial expansion to 11.25 thousand tonnes per annum. That is what the Board has sanctioned to this point and that's what we're underway on construction with and fully funded for. The work that we will do as well concurrently this year is looking at a bankable feasibility study to expand to 45,000 tonnes per annum. That's the only work that's been sanctioned by the Board at this stage is the feasibility study for that expansion. Once that feasibility study is completed this year, it will be up to the Board to review the outcomes of that and look to potentially sanction the next stage of development.
Operator: Seems there are response from the questionnaire. [Operator Instructions] Anthony seems like he has responded. Anthony, please go ahead.
Anthony Barich: I'm sorry. Just a very quick follow-up on -- probably unrelated to that though. I have heard from other graphite developers that the reports from anode making that in the China rates that it stays based on shifting from synthetic to natural graphite because of the rising petrol prices as a result of the Russian war and situation. I was wondering whether you've seen any other indirect or direct flowing effects to the graphite market from the whole Russia-Ukraine situation in whether it be supply chain s or anything else?
Shaun Verner: Sure. So the first part of the question related to a move from artificial to natural graphite anode material. We do see that as a long term trend anyway, which may have been I guess, facilitated by some of the disruption. But the cost in ESG components are seeing a move towards a higher proportion of natural graphite in the anode in the longer-term, so it's a shift that we already saw as being underway. In terms of other disruptions from the Ukrane - Russia conflict, there have been supply challenges out of Ukrane and Russia, and they do supply cost flaking into the European market. That has seen some strengthening of demand and price for cost flake, so that's been the primary impact. The conflict has impacted shipping availability and cost, over the top of the disruption that's already occurring due to COVID and some of the trade flow challenges that exist.
Operator: [Operator Instructions] Thank you.
Shaun Verner: Thanks very much. We appreciate the participation, we know it's a busy day with the number of quarterlies, so thank you all for dialing in and we look forward to keeping everyone updated in the coming quarters. Thank you.
Operator: Thank you very much. This does concludes today's conference call. Thank you for all participating. You may all disconnect and have a great day. Goodbye.